Sam Wells: Good morning, everyone, and thanks for joining today's first half FY '26 results call for Cettire. My name is Sam Wells from NWR, and I'm pleased to have with me from the company today Cettire's Founder and Chief Executive Officer, Dean Mintz; as well as Chief Financial Officer, Tim Hume. Both Dean and Tim will spend some time reviewing the ASX results released this morning, including some notable financial and operational highlights. [Operator Instructions] We'll aim to have this call wrapped up within 30 minutes, including Q&A. And thank you, and over to you, Dean.
Dean Mintz: Thanks, Sam. Good morning, everyone, and thank you for joining Cettire's interim results briefing for the 2026 financial year. Before we begin, I'd like to remind you of the disclaimer statement in our results presentation. That disclaimer also applies to this investor call. I'm joined today by our CFO, Tim Hume, and together, will take you through the company's results for the 6-month period ending 31 December 2025. Today's results are the outcome of our relentless focus on profitable growth with a clear bias towards profit in what remains a tough luxury market. Gross revenue was $505.7 million and sales revenue was $382.8 million, both were broadly stable year-on-year. Importantly, excluding the U.S., sales revenue grew 13% year-on-year to $225 million, which is a testament to our ability to grow our market share in newer markets. We had 613,000 active customers during the period, reflecting a deliberate reduction in paid marketing, combined with softer U.S. demand. Repeat customers continue to represent a growing share of gross revenues now at 69%. Our bias towards profitability saw adjusted EBITDA of $8.7 million and a half-on-half improvement of $20.5 million. This result clearly demonstrates the benefit of our agile and flexible business model. Our AOV increased 17% year-on-year to $961, reflecting the continued loyalty of our customers and the pass-through of our higher U.S. duties in our pricing. We closed the period with $61.4 million in cash and 0 financial debt. Against the backdrop of significant headwinds, our team executed exceptionally well. Our steadfast strategy to prioritize profitability, maintain cash and strengthen customer loyalty continued into H1 FY '26. This was executed in an environment where demand for luxury goods remains soft. The global personal luxury goods market declined approximately 2% in calendar year 2025, as a result of falling consumer demand globally, ongoing macroeconomic uncertainty and significant changes in U.S. trade policies. In the U.S. specifically, the elimination of the de minimis duty exemption from late August '25 resulted in price increases that further impacted U.S. demand. To address these challenges, we focused on growing market share outside of the U.S. This resulted in sales revenue ex U.S. growing by 13%. We also deliberately reduced paid marketing investment and turned our efforts towards enhancing engagement with our existing customers. This drove further growth in gross sales from repeat customers. On the supply side, engagement with brands and inventory holders has never been stronger. We exited H1 FY '26 with record available inventory levels, further strengthening our customer value proposition and minimizing supplier concentration. Localization remains a core strategic priority. Our efforts in the half delivered an uplift in sales from emerging markets representing 45% of gross revenue, up from 37% the same time last year. And from a balance sheet perspective, our capital-light model continued to deliver resilience with closing cash at $61.4 million and no financial debt. Turning to Slide 6. We finished the 6-month period with 613,000 active customers. New customer adds slowed, reflecting softer demand and a decision to lower marketing spend. We prioritize our investment towards quality engagement and conversion of the volume. Our average order value increased to $961 with repeat customers spending $1,050 per order on average compared to $811 for new customers. This increase largely reflects the incorporation of higher duties in our pricing. Repeat customers now account for 69% of gross revenues, up from 67%. This trend of increasing loyalty reflects the ongoing attractiveness of our business model to consumers. This loyalty is a key enabler as it helps sustain the business through cycles and underpins the long-term profitable growth. This chart once again reflects the benefits of having a strong cohort of loyal customers and our ability to increase our share of wallet over the long term. Our unit economics over the period strengthened with both customer -- with both customer acquisition costs and delivered margin improving compared to the preceding 6 months. Customer acquisition costs declined to $83, reflecting a reduction in paid marketing investment. While this comes at a cost to new customer adds, we believe it is prudent to manage marketing spend in line with achieving a reasonable return on investment. Delivered margin per active customer was $179, delivering a sequential improvement versus H2 FY '25 at $148. This reflects our deliberate reduction in promotional activity to prioritize profit. Our localization strategy continued to diversify our revenue base during the period with emerging markets, gross revenue increased by 21% year-on-year. These strategic markets now represent around 45% of Cettire's gross revenue. Established markets, including the U.S., U.K. and Australia contracted 13%, primarily driven by the challenges impacting the U.S. The U.S. now represents approximately 41% of gross revenues, the Australia at 6%, and U.K at 8%. We continue to focus on increasing market share in existing and new markets by focusing on enhancing our capabilities and driving localized initiatives. During the period, we launched our Arabic language capability to capitalize on the momentum we are seeing in the Middle East. We have also successfully launched Cettire's flagship store on the JD platform in China, and we'll continue to explore additional routes to market in that region. Our supply chain with hundreds of suppliers continued to grow strongly over the past 6 months. Engagement levels remain very high as inventory holders and luxury brands seek new routes to market in the challenging demand environment. Pleasingly, we exited the half with record levels of inventory and grew our published stock products by 60% year-on-year. To support our strategy, we continue to invest in our commercial team to support our increased levels of pipeline opportunities that includes luxury brands and third-party inventory holders. I'll now hand over to Tim.
Timothy Hume: Thanks, Dean, and good morning, everybody. Sales revenue was $382.8 million, down 3% on the prior year. This reflects the impact of U.S. tariff changes and softer demand in the region. Excluding the U.S., sales revenue grew by 13% to $225 million. Gross revenue was $505.7 million, while refund rates remained relatively stable. Delivered margin at 14% of sales was impacted by higher U.S. duties costs being absorbed into our fulfillment cost base. This was partially offset by a decrease in overall promotional activity. The duties impact was more fulsome in the second quarter due to the end of the de minimis exemption in the U.S. from September onwards. Importantly, however, delivered margin percent improved compared with the second half of fiscal year '25. Paid acquisition expenses were 4.2% of sales revenue and brand investment was modest at $1.9 million. This reflected our deliberate strategy to prioritize profitability. Adjusted EBITDA was $8.7 million, delivering an EBITDA margin of 2.3%. Pleasingly, our focus on driving profit delivered a half-on-half adjusted EBITDA turnaround of $20.5 million. Moving on to the balance sheet. Closing cash was $61 million, and we continue to have 0 financial debt. The increase in cash since June was supported by operating profits combined with favorable working capital dynamics. The year-on-year increase in contract liabilities is reflective of lengthier delivery times that we saw in the period leading up to the end balance date. This has resulted in a deferral of revenue recognition until the subsequent period. We continue to invest in our technology platform to develop capability and reinforce our competitive advantage. This resulted in capitalized investments as a proportion of sales revenue being 2.2%. The other key call out relates to the receivables. As a reminder, we have receivables relating to credits for VAT paid on purchases in Europe. To be more specific, these are statutory receivables that are due and payable. They could be paid at any time. However, we're subject to the time line of the government to pay out these amounts. The government has been slow to pay and out of caution, we have conservatively re-classed an additional portion of this receivable to noncurrent. Short-term challenges in luxury are expected to persist, albeit there are some signs of improvement. Importantly, the long-term fundamentals of the sector remain robust. The most recent study on luxury by Bain-Altagamma estimates the personal luxury goods market for the '25 calendar year declined by 2%. They cited macroeconomic headwinds, trade disruption, shifting customer preferences and a deteriorating value proposition as the reasons for the slowdown. On the positive side, the research is forecasting 3% to 5% growth in the 2026 calendar year. Moving now to the outlook. In the short term, there continues to be uncertainty within the global luxury personal goods market with performance varying significantly across geographies. In the current quarter, Cettire is cycling a period of aggressive promotional activity and some pull forward of U.S. demand that occurred ahead of the Liberation Day tariffs being implemented in early April 2025. Promotional activity peaked in March 2025, whereas in the current year, Cettire has meaningfully reduced its level and frequency of promotion. In light of the above, the Q3 comparator from last year has made the current quarter a lot more challenging from a growth perspective. And as against this backdrop, that our quarter-to-date gross revenues have decreased by 13% versus the prior corresponding period. The U.S. policy and macroeconomic environment remain dynamic and will continue to influence our sales activity in that market. However, the company expects to achieve a significantly improved growth profile in the fourth quarter of fiscal year '26. I'll now hand you back to Dean to conclude.
Dean Mintz: Thanks, Tim. In closing, the fundamentals of our business have not changed. We have a large and loyal customer base that has multiple growth pathways. We continue to grow our supply base, creating 1 of the world's largest online inventories of luxury goods. We have a capital-light, self-funded model built for profitable growth and have flexibility to adapt to changing market conditions quickly. And we have a fit-for-purpose strong balance sheet, leading proprietary tech stack and a first-class team with exceptional capabilities. With these foundations, Cettire is well positioned to navigate near-term challenges and deliver long-term profitable growth. On that note, I'll now hand back to Sam.
Sam Wells: [Operator Instructions] The first question is on delivered margin. Can you talk to how delivered margin progressed through the half? And how much of this is structural versus cyclical changes? And sort of further looking from a medium- and longer-term perspective, how do you think about delivered margin...
Timothy Hume: Thanks, Sam. Just in terms of the Q1 versus Q2 profile, first quarter, we were -- delivered margin 15%. Second quarter, we came in below that. I think, the key influence there on the Q1 versus Q2 is the impact of the de minimis changes in the U.S. was felt from September onwards. So we've seen a large step up in our fulfillment costs since that point. We now have a duties attachment rate in the U.S. of 100%. So every order into the U.S. attracts duty. Prior to the changes in the de minimis, the duties attachment rate in that market was a fraction of what it is today. And so if you think about the duties essentially as a pass-through, you might maintain the same amount of dollar delivered margin on an order, but that's off a higher revenue base. And so your percentage margin comes down. Now I think you had the second part of your question, Sam, was around structural versus cyclical. I think if you compare our margin today with a couple of years ago, the bulk of the decline that we have seen is cyclical in nature. The luxury market has been through a number of challenges in the last couple of years that have been well documented. And the market remains very competitive. So the bulk of the change that we've seen is cyclical. But more recently, the increased duties attachment rates in the U.S.A., which I referred to is dilutive to margin. Now looking forward, we certainly think there's room to grow that delivered margin over the medium term. So there's no reason why we can't get back to 20% plus over the medium term. I mean currently, the market remains promotional. The other thing we've seen in the recent period is that there has been some consolidation in online luxury. And other things equal, that should provide a more constructive backdrop looking forward.
Sam Wells: And just in terms of the turnaround in EBITDA half-on-half, what are the main levers that have enabled that from negative $12 million approximately last half to positive $9 million...
Timothy Hume: Look, Sam, obviously, it's been a challenging environment when you take into account a slowdown in the luxury market and the elimination of the de minimis in the U.S., which is our biggest market. Despite this, we've been able to hold revenue and improve EBITDA, as we said, by $20 million in just 2 quarters. I think in terms of how we are able to do this, from a tariff perspective, we increased -- we've increased our pricing to absorb the additional duties. And we've also moderated our promotional activity to really focus on improved revenue quality. Also drove a lot of efficiencies on the fulfillment side. And we continue to invest in marketing in a strategic and conservative way. There's still a lot more to be done, and we're targeting to have further improvements in the coming half.
Sam Wells: And next question, your biggest market, the U.S. has had its challenges of late, many of which you've talked to in the presentation, what's driving the growth ex the U.S.A.? And can you specifically touch on margin expansion in regions like Middle East and China, and comment that on the time it takes for these markets to switch...
Dean Mintz: I think in a lot of these markets, we're still relatively early. And they're very large luxury markets. We've put a lot of effort into our localization initiatives, which we spoke about previously. In the Middle East, we released localized language, Arabic language. And that's been very, very helpful. And at the same time in China, we're continuing our efforts there. And we launched our flagship store on the JD platform, which took a considerable amount of work from both sides, both JD and us.
Sam Wells: And just a follow-up on the expansion strategy more broadly. How do you balance increasing sales and engagement in existing markets and with existing customers rather than expanding into new locations like you mentioned?
Dean Mintz: Do you want to take that one, Tim?
Timothy Hume: I think we're -- look, I mean, of course, we want both. There's no question. I think in the recent period we've been putting a little bit more weight on engagement with our existing customer base. And that's simply because the returns on marketing investment have been more challenging. And so we have had -- we've taken a very conservative approach to our marketing spend. You see that on our numbers in this half. You see that in effectively our net adds. And -- but the level of engagement that we have with our existing base continues to be very strong. And the customers that we do have are extremely attractive, right? You see that in the repeat customer AOV. And you see that in the repeat customer spend. So the returns on -- unsurprisingly, the returns on engagement are on existing customers, I should say, are very, very attractive in current market. The other thing that's interesting at the moment, which if you just kind of peel back the next layer of our -- the customer profile. We've seen in the last several months now a stabilization in our retention rates, which is very encouraging, notwithstanding some of the external pressures that we touched on through the course of the call. So that retention rate is very much stabilized and goes to the strength and engagement of the existing customer base. And -- but we have less gross adds coming into the funnel at the moment as a consequence of our more conservative investment profile. It won't always be like this. As the return profile improves, then we'll -- there will be an opportunity for us to be more outward facing in terms of that marketing investment. And you can expect that, that will be -- a good portion of that investment will be allocated to the markets where we're newer. And so -- but those markets at the moment are growing really encouragingly even at current investment levels. So that's certainly something to keep an eye on.
Sam Wells: Great. Next question, your auditor has highlighted a material uncertainty in relation to going concern. Why is this? And do you expect any change in supply chain relationships or terms as a result of this?
Timothy Hume: Well, I mean, let's -- I think, first of all, let's just be very clear that we have an unqualified set of accounts out today. And that's very clear from the report from the auditor. So I think that's very important for people to understand. I think, from my perspective, there's not really anything new here. If you look back at our accounts in June, there was a current asset shortfall in June and also a note in our annual report around going concern. Now I mentioned earlier on the call that we've taken a more conservative view around the timing of our -- of when our tax receivables will convert to cash naturally, and as a consequence of taking that more conservative view, we have re-classed some of the receivable from current assets to noncurrent assets. So naturally, this will impact the current asset balance, and that's why the auditor has commented in the way that they have. I think -- this is -- there's an element here of this being a technical accounting point. The auditor has flagged that the business has a current asset shortfall and accordingly directed readers to read the relevant note in the accounts. So I don't think there's too much more to say on that. With regards to supply chain, I think -- if I can refer back to our comments earlier in the presentation, the level of engagement that we have with the supply chain at the moment, both in terms of directly with brands as well as with third-party suppliers is the strongest it's ever been. Our supply chain has continued to grow very strongly over the last 6 months. And we're a very important partner to all of our suppliers, and it's business as usual on that front.
Sam Wells: Great. And just maybe a follow-up there. Can you please explain why these Italian VAT receivables are still growing and getting larger and whether or not they can be collected?
Timothy Hume: Sure. So the simple mechanics work that we make purchases in various markets around Europe. We pay VAT on those purchases. This is purchase of goods and services. We pay VAT. And in payment of that VAT, we generate an input VAT credit, no different to a business operating in Australia that pays GST, generates an input GST credit, same thing conceptually. The process of getting a refund though, is not necessarily the same. And so -- and we have a net receivable position in those markets because our purchases exceed our sales in the market. Why does it take so long? Well, look, certain governments in Europe are notorious for being slow around managing their own payables, if you will. And can be particularly slow for foreign companies. And so I think this is a very frustrating situation, but it's a major priority for us to convert it to cash. And we're working on broader improvements to our supply chain, which we expect to be implemented during this half, which should considerably improve our cash flow profile around European input VAT going forward.
Sam Wells: And you might have just touched on that with your final comments to the answer, Tim, but can you just -- sorry, you flagged a few options to mitigate your current asset efficiency. Can you elaborate on these and whether or not they could possibly impact the business?
Timothy Hume: Look, I think the initiatives that we have in place are very straightforward. We need to continue executing in the market and driving sales. And there remains considerable scope for us to improve the efficiency of our cost structure, both as it pertains to variable costs as well as fixed costs. And so we are -- commercially, our objective is to run with the leanest possible cost structure and ultimately translate that into profitability. I refer back to Dean's comments, we have had a $20 million-plus turnaround in profitability in the last 2 quarters. And we're very focused on continuing to drive improvements in profitability going forward. I think the business has faced some very significant disruptions in its major markets over the last couple of years. In the last 12 months, in particular, we think about some of the news flow out of the United States, which is our largest market. And we've absorbed those challenges. We've held revenue. And against that backdrop, not only if we held revenue, but we've significantly improved profitability. And I think that's a testament to the flexibility that our business model has. And that sets us up well to drive improvements in profit going forward.
Sam Wells: Great. How should we think about marketing spend going into H2? Will spend be aggressively cut again in light of the Q3 '26 trading update that you provided and the ongoing volatility there?
Timothy Hume: I don't think you should -- investors should expect any meaningful change in terms of current run rates. So we're investing at the moment at a level which is still achieving a good balance between generating a return on investment and overall growth. I think there are some funny comps that we're working through in this quarter from a growth perspective. But we're also -- if you look back at the fourth quarter of last year, where anyone who was operating cross-border of the -- against the backdrop of the changes in U.S. trade policy had a very difficult operating environment. We had a very challenging fourth quarter in fiscal year '25. And I think at this stage, our best current view is that the business will -- from a growth perspective, even if this is a challenging quarter that it will rebound strongly in the fourth quarter of this fiscal year. And you've -- we've indicated that in our trading update today where we're anticipating that revenues are going to be not too far off where they were last year.
Sam Wells: Great. Do you have a rough sense of what gross profit dollar growth decline has been in the quarter to date? And what is the offset on delivered margin with lower promotional intensity?
Timothy Hume: Sorry, I think the question is what is profit in the third quarter? Is that the question?
Sam Wells: So do you have a rough sense of what gross profit dollar -- sorry, gross profit dollar growth or decline has been in the quarter?
Timothy Hume: I don't think we're -- we've made any comment today about current quarter profitability in our trading update. And I don't think that it's appropriate to provide that on this call.
Sam Wells: Okay. Next question, any prospects you might get a tax cash refund at some point given the NPAT losses over the last calendar year?
Timothy Hume: Cash tax refund, is that the question? No, generally, the bulk of our business is resident in Australia for tax purpose. And so we tend not to get income tax refunds in Australia as a company, but you do have losses that you can offset in the future. So I think that's a consideration in the Australian market. But I don't think we can expect income tax refunds. But naturally, we work in -- we're operating in many markets around the world at this point. And whilst there are certain markets in Europe, which may not be as speedy at paying their -- their payables as we are, there are plenty of other markets around the world where we do have import tax credits, which are paid on a timely basis.
Sam Wells: Great. And just another one, sticking with the financial statements. Why did you pay $5 million of cash taxes when you made a pretax loss last year?
Timothy Hume: So the tax payment that we made would have been in relation to our tax position for the prior year, where we were profitable.
Sam Wells: Okay. Are you able to break down the Q3 '26 sales performance by region, U.S.A. versus ex U.S.A.? Interested to understand if ex U.S.A sales growth is holding up in Q3.
Timothy Hume: Yes. We haven't disclosed the numbers in terms of the Q3 to date regional splits. But the dynamic that we've described broadly around the company that we have, we have a 2-speed company this year, okay? We have the U.S., where we are cycling not only the -- if you think about this quarter last year, and tariffs were not something that people were talking about. And so we have 2 layers of this tariff issue in the U.S. One is the general discussion around which country has to pay what based on where something is made. And then there's a separate threat to that discussion around does the de minimis exemption apply or not. So both of those changes in the U.S. have been individually and collectively meaningful for us as has the corresponding uncertainty that, that's created for the consumer in the U.S. These are dynamics which have unquestionably had an impact on our business in recent quarters, and we are still cycling a world where that was not on the table. That's going to continue to present itself in year-on-year growth rates in coming quarters. If you think about it, the de minimis change was implemented at the end of August. So we're going to be seeing some strange things in the U.S. comps really until the December quarter in this calendar year. So that will continue to play out. The rest of the business, excluding the U.S., continues to grow very strongly. We talked on the call about the global luxury market down 2% year-on-year in calendar year '25, and our business has grown in the teens percent in the second half of the year. And that is again, in the context of much lower promotional activity from our business. So that's a very encouraging sign for us. We're continuing to take share. Our localization strategy is doing as it was intended to do. And I think we can expect this dynamic to play out for the foreseeable future.
Sam Wells: Great. Thank you. That's all the time we have for questions today. If there are any unanswered still, please feel free to send them through or if there's any additional follow-ups, and we'll endeavor to get back to you. And that concludes the Q&A session and brings us to the end of today's first half earnings call for Cettire. Thank you all for joining, and have a...